Operator: Good morning, and welcome to Sixth Street Specialty Lending, Inc. Second Quarter Ended June 30, 2021 Earnings Conference Call. Before we begin today’s call, I would like to remind our listeners that remarks made during the call may contain forward-looking statements. Statements other than statements of historical facts made during this call may constitute forward-looking statements, and are not guarantees of future performance or results, and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Sixth Street Specialty Lending, Inc. filings with the Securities and Exchange Commission. The Company assumes no obligation to update any such forward-looking statements. Yesterday, after the market closed, the Company issued its earnings press release for the second quarter ended June 30, 2021, and posted a presentation to the Investor Resources section of its website, www.sixthstreetspecialtylending.com. The presentation should be reviewed in conjunction with the Company’s Form 10-Q filed yesterday with the SEC. Sixth Street Specialty Lending, Inc. earnings release is also available on the Company’s website under the Investor Resources section. Unless noted otherwise, all performance figures mentioned in today’s prepared remarks are as of for the first quarter ended June 30, 2021. As a reminder, this call is being recorded for replay purposes. I will now turn the call over to Joshua Easterly, Chief Executive Officer of Sixth Street Specialty Lending, Inc.
Joshua Easterly: Thank you. Good morning, everyone, and thank you for joining us. As usual with me today is my partner and our President, Bo Stanley, and our CFO, Ian Simmonds. For our call today, I will review this quarter's results and then pass over to Bo, to discuss this quarter’s originations activity and portfolio. Ian will review our quarterly financial results in more detail, and I will conclude with final remarks before opening up the call to Q&A. After market closed yesterday, we reported second quarter adjusted net investment income per share of $0.46, exceeding our quarterly base dividend per share of $0.41. This corresponds to the annualized return on equity of 11%. Adjusted net income per share for the quarter was $0.88, which corresponds to an annualized return on equity of 21.4%. Year-to-date, our annualized return on equity on adjusted net investment income is 12.4%, ahead of our full year target of 11.5% to 12%. And return on equity on an adjusted net income is 22.2%. This quarter’s net investment income reflects continued strength in core earnings power of our portfolio. And the difference between this quarter’s net investment income and net income was due to significantly net realized and unrealized gains on our investments, which Bo will cover. Since these gains resulted in accrued capital gains incentive fees, we have adjusted this quarter's results exclude the impact of this non-cash expense, which was approximately $0.08 per share. There are a few reasons to do this. To start, the accrual for capital gains incentive fee is a GAAP requirement in quarter’s where cumulative gains exceed cumulative losses, less previously paid capital gain incentive fees. The rationale is that when these gains become realized, they will be subject to capital gains incentive fees. Note however, that only a portion of our cumulative unrealized gains at quarter-end would actually be subject to a capital gains incentive fee, if our entire portfolio will be realized in normal course, at the June 30 mark. The rest of the cumulative unrealized gains are related to the evaluation of our debt investments, inclusive of call protection, which if prepaid, we resolved in the recognition of fees and investment income in trigger reversal previously accrued capital gains incentive fees related to these investments. At quarter-end, we had approximately $0.16 per share of cumulative accrued capital gains incentive fees on our balance sheet. But only $0.04 per share would actually payable in cash, if our entire portfolio would be realized at their quarter-end mark in normal course. A reminder, that the calculation of accrued capital gains incentive fees as actually payable to the advisor is done annually at calendar year-end. Capital gains incentive fees would only be payable to extend our cumulative net realized gains exceed our cumulative net realized and unrealized losses on inception to-date basis, less than any previously paid fees. All cumulative unrealized gains are disregarded for this calculation since the gains must be realized in order for us to be eligible to receive fees. Therefore, illustratively if we were at year-end today, and calculating the capital gains incentive fees payable based on our Q2 financials, none of our cumulative accrued capital gains incentive fees would be actually payable. Given the capital gains incentive fee accrual creates noise around the fundamental earnings power of our business, we've adjusted our results to exclude this line item. Continuing with this quarter's results, gains on investments drove strong net asset value per share growth of 2.7% quarter-over-quarter to $16.85 up $0.44 per share from Q1 performance net asset value per share of $16.41. If we were to look at the growth in our net asset value since the onset of COVID through today, which would require adjusting for the impact of special and supplemental dividends, we've grown that asset value per share by 12.2% since year-end 2019. From a total economic return perspective, which would factor in the benefit of a quarterly base dividends as well, we've generated a return of 26.8% for our shareholders over this time. While we think the challenges of COVID are far from over, we believe our strong results today demonstrate the robustness of our business model and ability to create value across uncertain market environments. Yesterday, our board approved a base quarterly dividend of $0.41 per share to shareholders of record as of September 15, payable on October 15. Our board also declared a supplemental dividend of $0.02 per share based on our Q2 adjusted net investment income to shareholders of record as of August 31, payable on September 30. Pro forma for the impact of the Q2 supplemental dividend our quarter-end net asset value per share was $16.83. Reviewing our first-half progress, we continue to generate attractive risk adjusted returns by focusing on segments of the market, where we believe we have the highest value proposition for our portfolio companies, management teams and sponsors. After experiencing elevated portfolio turnover in 2020, and faced with reinvestment headwinds from falling credit risk premiums and the broader loan market, we're able to grow our portfolio while maintaining stable portfolio yields, and portfolio credit metrics, which Bo will cover in more detail. By remaining disciplined to our specialty lending focus and drawing on the breadth and depth of Sixth Street platform, we're able to find opportunities where our deep sector knowledge, and structural capabilities allowed us to generate our targeted levels of returns for our investors. With that, I’ll now pass over Bo, to discuss our Q2 originations activity and portfolio metrics.
Bo Stanley: Thanks, Josh. We had a very active quarter supported by a robust deal making environment. And against improving macro backdrop transaction levels were elevated as sellers look to capitalize on attractive valuation environments, and buyers look to accelerate growth through strategic acquisition. Meanwhile, sponsors with record levels of dry powder continue to focus on buying and building portfolio companies. With a busy activity levels for the first-half of this year, our thematic approach and scale, and resource benefits of being part of the $50 billion plus Sixth Street platform continued to serve as important competitive advantage. Our thematic playbook allowed our team to efficiently focus on transactions where we have the expertise and the capital base, to provide financing solutions that few other competitors could replicate. In addition, the market insights and resources across the Sixth Street platform, which allow us to provide value beyond capital became an important consideration for our management teams, and sponsors looking to successfully navigate today's complex and evolving market dynamics. In addition to the strong originations activity we had in Q2, we also have a strong backlog for the second-half of this year, including agent roles on three large financings that total over $1.5 billion in facility size. As you can expect, we're partnering with our affiliated funds and other managers on these transactions, which provides us the flexibility to determine the optimal final hold sizes for TSLX. This quarter, we had $303 million of commitments and $265 million in fundings across seven new investments, and up sizes to eight existing portfolio companies. As an illustration of the power of the platform, the majority of our new investments were completed in collaboration with funds across the Sixth Street platform, perhaps reflective of a broader market trends, all of our new investments this quarter were finances to support acquisitions, or growth. And six of the seven of these were backed by financial sponsors. We continue to execute on our educational technology theme with new first lien term loan investors, Axonify and Modern Campus. Given that we were one of the first lenders to market on this theme, and have significant familiarity with a business model and market dynamics, we’re able to provide speed of execution, and a level of deal structure customization that set us apart from our competition. As for our other new investments this quarter, they all had the hallmarks of our focus on well managed businesses with mission-critical, deeply embedded, tech-enabled solutions. And they were all sourced through our proprietary origination channels. On the repayment front, activity continued to be relatively muted this quarter at $108 million across two full pay downs in one sell down, which partly reflects the more recent vintage of our portfolio as we began the year. This resulted in net funding activity of $157 million for Q2. The two pay downs this quarter were both M&A driven, and the sell down was our small Neiman equity position at a price above our cost basis, as mentioned on our last earnings call in May. During the quarter, a few of our portfolio companies were in the press following certain milestone events, a couple of which I'll touch upon here. In May, Cares  completed a growth equity round at nearly $8 billion post money valuation, led by Sixth Street’s healthcare and Life Sciences team. Since 2018, TSLX has made relatively small investment in the company's capital structure alongside our affiliated funds, and receive warrants as part of these transactions. Based on the valuation of Cares'  latest financing round, the fair value of our junior debt, warrant and preferred equity positions increased significantly quarter-over-quarter, contributing to this quarter's unrealized gain. Sprinkler, another one of our portfolio companies and a provider of customer experience management solutions completed its IPO on June 23. We made a small investment in Sprinkler’s convertible notes, alongside affiliated funds last May. And upon completion of the IPO, our notes automatically converted into common equity. The quarter-end fair value market of our equity position reflects a discount to the company's June 30 closing share price, given the trading restrictions on our equity security, but still represents a 2.5x NOM on our capital invested. Driven primarily by the unrealized gains and the debt equity conversion of certain investments upon milestone events this quarter, our portfolios equity concentration increased slightly from 4% to 6% on a fair value basis. We continue to be focused on investing at the top of the capital structure, and our portfolio remains predominantly first lien oriented with 94% first lien at quarter-end. As Josh alluded to, the credit quality of our portfolio remains robust with minimal changes in our credit metrics compared to the prior quarter. The weighted average EBITDA of our core borrowers this quarter was steady at $41 million. And our portfolios average attachment and detachment points remain stable at 0.4x and 4.2x, respectively. The average interest covers on our core borrowers improved slightly from 3.2x to 3.4x quarter-over-quarter. Our investments on non-accrual status remains minimal at 0.02% of the portfolio at fair value, representing our restructured sub notes in American Achievement, as discussed on our call in May. Our portfolios weighted average yield on debt and income producing securities at amortized cost continues to be steady. This quarter’s yield was 10.1%, same as a prior quarter and approximately 10 basis points higher than what it was a year ago. The yield impact on new versus exit investments this quarter was minimal. The weighted average yield at amortized cost of new investments this quarter was 10.0% compared to a yield of 9.5% on exited investments. With that, I'd like to turn it over to you, Ian.
Ian Simmonds: Thanks, Bo. Reviewing the headline results for Q2, we generated adjusted net investment income per share of $0.46 and adjusted net income per share of $0.88. Quarter-over-quarter total investments at fair value grew by approximately 8% to $2.6 billion, driven by net funding activity and the positive impact valuations on the fair value of our portfolio. Total principle debt outstanding at quarter-end was $1.3 billion, and net assets were $1.2 billion or $16.85 per share, which is prior to the impact of the supplemental dividend that was declared yesterday. This quarter’s average debt to equity ratio increased to 1.07 times compared to 0.93 times in the prior quarter, as a result of net funding activity, as well as the payment of our $1.25 per share special dividend in April. Our debt to equity ratio at June 30 was 1.08 times. We continued to have ample liquidity with $1.1 billion of unfunded revolver capacity, against $121 million of unfunded portfolio company commitments eligible to be drawn. At quarter-end, we remain match funded with 4.1 years of weighted average remaining time to maturity on our debt liabilities, against 2.4 years of weighted average remaining life of investments funded by debt. Our next debt maturity is approximately a year away in August 2022 on the $143 million remaining par value of convertible notes. This quarter, the average share price of our stock continued to exceed the adjusted conversion price on these notes. As we've mentioned previously, we have the flexibility under the indenture to settle the aggregate value of these notes in either cash, stock or a combination thereof. The triggers for early conversion not being met. And we will make a determination on the most efficient settlement method when the time comes, based on our then balance sheet leverage and investment opportunity set, so that we can manage the impact on NAV per share and ROEs. A reminder that per our early adoption of ASU 2020-06 last quarter, the diluted EPS in our financial statements uses the if converted method, which shows the maximum dilution effect of our convertible notes to common stockholders, regardless of how the conversion can actually occur. Moving back to our presentation materials, Slide 8 contains this quarter's NAV bridge. Walking through the notable drivers of NAV growth, we added $0.46 per share from adjusted net investment income against our base dividend of $0.41 per share. As Josh mentioned, there were $0.08 per share of accrued capital gains incentive fees related to this quarter's net realized and unrealized gains. The impact of tightening credit spreads on the valuation of our portfolio had a positive $0.04 per share impact, and there was a positive $0.51 per share impact from other changes, primarily net unrealized gains on investments of $0.43 per share, due to portfolio company specific events, which Bo provided some examples of earlier. Moving on to our operating results detail on Slide 9, total investment income for the quarter was $62.8 million, compared to $66.2 million in the prior quarter. Walking through the components of income, interest and dividend income was $59.4 million up $3.5 million from the prior quarter, primarily as a result of an increase in the average size of our portfolio. Other fees, representing prepayment fees and accelerated amortization of upfront fees from unscheduled pay downs were $2.2 million, compared to $8 million in the prior quarter. Other income was $1.1 million compared to $2.3 million in the prior quarter. In summary, the slowdown in portfolio turnover this quarter, and net portfolio growth allowed us to generate a higher quality of earnings from interest income. For reference 95% of this quarter's total investment income was generated through interest in dividend income, compared to 79% across 2020, and 88% across 2019. Net expenses, excluding the impact of the non-cash accrual related to capital gains incentive fees were $29.7 million, up slightly from $29 million in the prior quarter. This was primarily due to higher interest expense from an increase in our average debt outstanding. Our weighted average interest rate on debt outstanding decreased slightly quarter-over-quarter by 4 basis points to 2.26%, as a result of a funding mix shift to greater usage of our secured revolver. Lastly on expenses, you'll notice that we applied for the first time a fee waiver on base management fees related to this quarter's portion of average gross assets financed with greater than one times leverage. Above that leverage level, base management fees are reduced to an annualized level of 1%. This is the first time since our stockholders approved the application of a 150% minimum asset coverage ratio in 2018, but we have reached this threshold. For the year-to-date period, we've generated an annualized return on equity on adjusted net investment income of 12.4%, and on adjusted net income of 22.2%. Our net income has benefited from both net realized and unrealized gains on investments from company specific events, as well as the positive valuation impact of tightening risk premiums across asset classes. As portfolio repayments moderated in the first-half of the year, we've been able to generate greater interest income from investments, while increasing our balance sheet leverage to support our ROEs. In the second-half, we expect some rebound in portfolio repayment activity, which would drive a more normalized level of activity related fees for our business. Based on where we stand today, we believe we are on track to meet the high-end or exceed our previously stated guidance range of $1.82 to $1.90 of adjusted NII per share for full year 2021, which corresponds to return on equity of 11.5% to 12%. With that, I'd like to turn it back to Josh for concluding remarks.
Joshua Easterly: Thank you, Ian. In the first-half of the year, the broader market sentiment has been mostly positive given the vaccine rollout, economic reopening and the promise of continued accommodative fed. Given the health of the consumer and health of financials, the aforementioned accommodative fed, we remain constructive on the U.S. economy. Although, we do believe there's a myriad of factors including the impact of the Delta variant, the debate around transitory versus non-transitory inflation, that could create periods of volatility. As always, we've positioned our balance sheet, funding and liquidity such that we stand ready to operate across varying market environments. As of 2020 has shown through periods of uncertainty, we are a proven source of stability of capital for new and existing clients, while being a provider of strong risk adjusted returns for our investors. To ensure that Sixth Street platform continues to be a leading solutions provider, and deliver superior results for our shareholders and LPs, we're working hard to expand our capabilities. Over the past year and a half, Sixth Street has focused on growing our capabilities in healthcare, growth in energy among other business verticals, and have grown our team by approximately 80 people, including 30 investment professionals across sectors and disciplines. Today Sixth Street has more than 320 team members, including over 145 investment professionals operating across nine collaborative investment platforms, from nine locations around the world. We believe that the scale and resources of our platform will have our business to be well positioned and nimble across business cycles and market environments, which ultimately benefits the TSLX shareholder. With that, thank you for your time today. Operator, please open up the line for questions.
Operator: Thank you.  And our first question comes from the line of Devin Ryan with JMP Securities. Your line is open. Please go ahead.
Devin Ryan: Great. Good morning, everyone.
Joshua Easterly: Good morning, Devin.
Devin Ryan: First question here, just given the strong economic backdrop and elevated transaction activity coupled with your meaningful available liquidity, just curious how you're thinking about leverage here, current leverage 1.08 times. Do you see an opportunity to take that higher than the current environment? And I actually think about the trajectory there, if anything you can share? Thanks.
Joshua Easterly: Yeah, great. That's a good question, Devin. Look, I think, this quarter was a quarter where it was very -- showed up in our P&L very low kind of activity related fees. That being said, I'll get to your question, I think this is our highest quarter on a per share basis, by a long shot on interest income, and that was primarily driven by us legging into our balance sheet leverage. So put it in perspective, I think on average, true interest income per share has ranged about $0.81, this quarter was $0.89, but activity fees were typically $0.10, we’re $0.03 this quarter. And that was all driven by financial leverage. I would expect that we continue to leg into our financial leverage. We're kind of in the lowest to middle of our financial leverage range. I would expect activity levels to -- activity level fees and some portfolio turnover in the second-half of the year. So, we're going to work hard continue to stay kind of in the one plus range, and we'll given the economic backdrop, I think we're wanting to take it up to 1.15 to 1.25 in this environment. So, I hope I answered your question, but we most definitely, given the economic backdrop and the activity levels we will most definitely continue. We think there's a path to put out capital, but there's going to be more activity in our portfolio, I think in the second-half of the year on the repayment side.
Devin Ryan: Okay. That was perfect. Thank you. And then just a follow-up Josh, the competitive environment for capital allocation, how would you compare today versus other periods of your career? What you've seen? And clearly there's a lot of deal flow right now and so that's good. How do you think that might evolve if deal flow slows from here?
Joshua Easterly: Yeah. So look, I think I'd frame it this way. I think this is probably one of the most competitive environments we've seen. There's been a -- the space has been gentrified for sure. There's capital flow into the space both in a fund format, in the BDC format, and I recall in the gray market for BDC. So, most definitely, this is probably one of the most competitive markets. That being said, from a risk adjusted return perspective, it's a pretty good environment to put capital out. I would expect default rates to be low going forward, corporates are in pretty, pretty good shape. So of those competitive, the overall risk adjusted returns given where we are in the economic cycle, which feels like it got reset, we're in the first or second inning. There's some small corner cases, but it feels like we're in the first or second inning. You feel like default rates and losses given defaults will be pretty high in this environment. So I think there continues to be a path to generate strong risk adjusted returns for shareholders and its environment. Bo, you have anything to add?
Bo Stanley: No, the only thing I would add is that while competition is intense, its stable, it's been stable the last couple of quarters, and it doesn't seem to be intensifying. And I think the risk adjusted return to Josh's point, is compelling given the economic backdrop.
Devin Ryan: Okay, great. Very helpful. Thank you guys. I'll leave it there.
Operator: Thank you. And our next question comes from the line of Finian O’Shea with Wells Fargo. Your line is open. Please go ahead.
Finian O’Shea: Hi, everyone. Good morning. First question in the line of the competition discussion as well, but more toward venture, which it looks like you've been doing a growing cadence of over time? Can you kind of explain perhaps pros and cons of let's say, dabbling in venture? Where that market seems to be typically reserved for the dedicated crowd? Just give us a feel of how -- what the challenges in getting good quality deals when you're not full time in that market?
Joshua Easterly: Yeah. Hey, Fin. So I appreciate your question. I know this has been a little bit of a theme for you this quarter. I would argue with your premise. We don't do venture that. And so when I think about venture and I think on the spectrum of -- and kind of investment strategies, venture is typically investing in companies that have unknown, or highly speculative business models that are either pre revenue, or not scaled businesses, that we do zero. Now, I'll say it again, we do zero of that. On occasion, which we've been a leader and we've done for 20-years, we've financed companies with known business models, known unit economics, very diverse customer base, that are growing, that are reinvesting in their business. And so, I would juxtapose that against the venture debt model where there is a unknown business model, large TAM, but unknown business model, unknown unit economics, or if it's post revenue, there's high concentrated revenue. So we do zero of what you would think of, or what the market would think of venture debt. I don't know Bo especially do you have anything to add there?
Bo Stanley: I was just going to reiterate that the late-stage growth market that we play in, which is characterized by with companies that have underwritten business models that you can underwrite, downside protection, secondary forms of repayment. We've been doing that for 20-plus years. And, is that theme expanding over time, as you're seeing the digitization of the economy and more businesses fall into that late-stage market? Yes, I think that is a fair statement. But we've never done venture and the late-stage growth lending, something we've been doing for 20-plus years.
Ian Simmonds: Yeah. And even the earlier stage, recurring revenue deals we do are tied directly to very high gross margin, recurring revenues that throw up cash flow, at the margin line they're just reinvesting those cash flows.
Joshua Easterly: You can just scale businesses with revenue, no customer concentration. So, I would argue the premise now, there might be in the case of Passport, which is a company that went from a venture debt provider to a company that has now grown up and has real diversify contracts with municipalities. And they're in the payments business for municipalities and parking lot owners. That has transitioned as a credit and as a business model. But, that's how I would frame it for you.
Finian O’Shea: That's very helpful. And then, I guess just sort of related question. I think Ian, you mentioned there should impact of yields coming down from the competition and such. There's obviously not a large pool of rescue or special set or oriented deals right now. Do you have any like strategy to say like, increase your equity co-invest or engage in? Or, I'll just leave it at that anything to help sustain just the baseline deals you've been getting? I know, you'll get some pickup, you said from normalized activity. But, if this environment is protracted, what do you think on that matter?
Joshua Easterly: Yeah, so I'll leave it over, Ian. I just want to, again, frame it up a little bit, which is yield when you look at our yields, if you look at June 30, 2020, our yields and amortized costs are up 10 basis points year-over-year. So I'm not sure we said anywhere that yields were coming down. Just to frame it, I think our Q2, 2021 yields are new investments, we're basically at our average yield. And I think that exceeded loans slightly that paid off. So I think again, a little bit of the -- maybe this is a theme in the space, but we haven't really seen yield compression in our book. We actually picked up net interest margin when LIBOR went from whatever 2.5 down to 20 basis points, we would pick the net interest margin and yields have been flat to stable to slightly increasing actually year-over-year. And yields are new investments people yields in the total book. So I don't think, I think that's a little bit of the benefit of being small, nimble having the benefit of a Sixth Street platform, having 150 people getting up and thinking about among other things that directly and even how to solve an issuers problem and being nimble across sectors to a lesser extent, geographies. So I like that getting that -- I think the premise is maybe something its magically happening in this phase. I don't think it's happening into Sixth Street Specialty Lending. Ian, do you have anything to add?
Ian Simmonds: No. With the second part of your question Fin, also getting to weather where we're seeing more opportunity on equity co-invest. Is that where you're going with that?
Finian O’Shea: Yes, and your plans to engage in it as well, I suppose.
Joshua Easterly: We've always been opportunistic about our equity co-invest program. I think over time, we've invested just to put this in perspective we've invested about -- I'm trying to -- we've invested – I’ll give you the math. We've invested about $160 million of equity over time. And we're currently at like, 1.7 times NOM, and my guess that will grow because we have a whole bunch of stuff in the book still. So it's been a decent source of returns. I think the average return on fully realized has been in the 40% range. So we'll continue to take our shots. I would say that it's very specific, so we're not asking for -- our equity co-invest program is not asking for equity co-invest in every deal. We have a – if it fits into a sector, where we have a deep fundamental view of the business. And think there are the prospects are good, and the valuation is good, we will ask for it. But it's more rifle than the shotgun and its more I would say actively managed versus kind of a passive strategy of equity co-invest and taking kind of private equity returns across the cycle. We're pretty specific and thoughtful what we do, given the capabilities of the platform.
Finian O’Shea: Got it. Thanks so much.
Joshua Easterly: Thanks, Fin.
Operator: Thank you. Our next question comes from the line of Robert Dodd with Raymond James.0 Your line is open. Please go ahead.
Robert Dodd: Hi, guys. Firstly, a follow-up to Devin's question, obviously, you gave kind of an indication that you may be able to get towards the higher end of your leverage range by year-end, maybe. If that plan kind of plays out and there's a lot of variables, understood, would that change your bias on what to do with the convert in terms of how much cash, how much debt, how much equity, as we got into next year? I mean, is that the convert strategy or function of where leverage ends up at the end of the year is a good way to put it?
Joshua Easterly: Yeah, Robert, you're dead on. First of all, I just want to be clear, like, I think we have given the covert and our ability to settle down in all equity. We're most definitely willing, I'm not sure we, or we'll be able to roll in the run “harder” on debt to equity. And that will give us flexibility and that is most definitely a consideration in the convert. So, I think that there's going to be -- I think the market environment and as one consideration, which we're very constructive on the U.S. economy, which allows you to be fee -- use lean into your financial leverage a little bit more. In that we have effectively can settle the convert with equity allows us flexibility as well, and that’s most definitely a consideration.
Robert Dodd: Got it. Thank you. And then one more if I could. You mentioned Josh, in the prepared remarks, I think adding expertise, I think more at -- such as the parrot, the manager, obviously in energy. Obviously, energy is a -- it's everything from oil and gas E&P to solar panels, right? Could you give us -- two parts. One, where you're adding the expertise? But more than the point, should we expect energy exposure to go up at the BDC? And if so, could you maybe narrow down what kind of energy verticals you find attractive?
Joshua Easterly: Yeah. So it's a great question. So we've added expertise both on what I would call infrastructure and distributed energy, solar wind, et cetera, on the platform, we will -- people will notice I think we’re one of the largest owners of solar, and some of our private funds. And I've also made investments in wind, et cetera. And then typically on traditional, we've been really everywhere from far upstream to midstream, we've done stuff and made investments. Historically our – so, I think it's wide open. We haven't really seen a ton of opportunities, I would say in the energy space for winning maybe that changes, but we most definitely have the expertise, and we've added to the expertise. We have been relatively active in the nano space. For example, we bought a group of -- this is publicly bought a group of RBL loans with a partner that was actually in the business. Obviously, we have a ESG framework and commenced that ESG framework. But I would expect us to be active across a complex and be opportunistic in that. I think the max exposure was in our energy and the BDC was about 10%. And most of that was in the form of reserve base lending, on hedged proven collateral. I'm not sure we ever get back up to 10%. But we most definitely, when we see opportunities will be -- we're willing to add investor and be opportunistic, but it has to fit into the portfolio construction. It has to be assets we like, that are low on the cost curve, where there's not development risk, and where they're hedging the commodity price. We've done actually a pretty good job, I think, over time, in that space. We have positive P&L. Mississippi was the one mistake, and it was, I would say relatively small, but across the investments, we've done a pretty good job. So we'll still be active in it.
Robert Dodd: Got it. Thank you.
Operator: Thank you. And our next question comes from the line of Kenneth Lee with RBC Capital Markets. Your line is open. Please go ahead.
Kenneth Lee: Hi, thanks for taking my question. Just one on the Sixth Street platform, on a broader level, wondering if you could expand upon your expectations for the platform, its potential contribution to originations over the near-term? Thanks.
Joshua Easterly: Yeah. So we've touched on this a couple of times. But look, we – sorry is the question, the contribution of origination to the platform? Or, is it just where we're adding expertise, sorry?
Kenneth Lee: Just the first part, just the contribution to potential originations.
Joshua Easterly : I don't know if we track it specifically, because we kind of go out as a one team mentality. I would say ebbs and flows. So for example, just to call, tactically that healthcare team doesn't sit inside the directly lien platform, but my guess is, like 50% of their activities are directly lien related. And so they really own all of our activities and biotech land. For example, in that space, I think we've invested a couple $100 million, if not more, maybe a half a billion a half yard. But, I don't think, given the culture of the platform, which is really 145, 150 investment professionals getting up every day and thinking about how to be a solution provider for our clients, and how to be -- and protect our investors’ capital, I don't think we track it, but it ebbs and flows. And the one thing pops out to me is on the healthcare, but technically it's not within the direct lending team, but it has contributed a decent amount to the success for shareholders.
Kenneth Lee: Got you. Very helpful. And just one follow-up, if I may. And this is related to the previous question about equity co-investments. Wondering if you could just refine your comments, would it be fair to say that the philosophy around equity co-investment is more around potential upside, versus mitigating potential losses over the cycle? Thanks.
Joshua Easterly: Yeah. Look, so the question is, is our equity co-investment program effectively the way to mitigate credit losses over the cycle versus – and the answer is no, in the sense that we're trying to -- if you look at historically, we're in a, obviously, you see this with the accrued capital gain fee. We've basically had positive net gains across the books, and haven't really experienced massive credits any significant credit losses over a long period of time. I think the one is Mississippi, but it's been offset by whole bunch of other stuff. So for us, I would say it’s a more offensive strategy where companies and where we can partner with people, where we have the expertise to make an educated investment decision. And complete an educated underwriting versus taking a portfolio approach and trying to offset. Give you a long private capital/private equity beta to offset losses in the credit book, that is not our approach or approaches. Be specific, be a good partner, have a thesis to be able to underwrite and be often so when we think there is an opportunity based on a sector or company, a management team, and evaluation we like. Bo, anything to add there?
Bo Stanley: I think it's pretty straight.
Kenneth Lee: Great. That's very helpful. Thank you.
Operator: Thank you. And our next question comes from the line of Ryan Lynch with KBW. Your line is open. Please go ahead.
Ryan Lynch: Hey, good morning. Thanks for taking my questions. You guys have always been a big investor into the software space. It feels like over the last several years, and really after, -- in really the last several quarters' kind of post-COVID, it feels like everybody, all the direct lenders are really piling into the software space, as that sector performed fantastic overall during COVID. And so I'm just wondering, as you sit here today, and as you guys evaluate new opportunities, what are the biggest risks that you all see today, in the software lending space? Is it elevated multiples? Is it risky end markets, technology risk? And really, how are you guys navigating that sector, given the amount of capital flowing into it, and given the focus that you guys have had in the past as part of your portfolio?
Joshua Easterly: Yeah, it's a good question. I'll start and I’ll turn it to Bo. First of all, I think that most definitely there's a greater focus on the software space. That being said, there's a larger universe as well. Software over the last 10-years -- the quote, somebody is smarter than all of us, or at least me, it’s kind of eating the world. And so, the base, the digitization or where software is in our life, in both companies and consumers is very large. And there is the opportunities has grown along with the capital, along with the capitalists looking at. So it's not like, -- I’m not deeply concerned in the sense that the opportunity is that as stay the same, we got smaller, and there's a whole bunch more eyeballs on it. There is kind of – they had a step function together. So I just want to level set there. That being said, we do think we have a unique lens and expertise, and can bring the Sixth Street platform to think about not only end markets, but technology, any technology risk, secular trends in technology. But we have a pretty good -- we have a framework we like where we're really thinking about where we're focused on companies that are highly embedded, that are super capital efficient. And we have a framework on how to determine how capital efficient they are. That's been around for 20-years. I mean, we've adjusted it. But, Bo, I don't know if you have anything to add?
Bo Stanley: The one thing I'd add is, we don't think of software as an industry, it's ubiquitous. We get very nuanced within technology itself and have sub themes that we focus on. And I think even part of your question was like with everybody piling into that sector, as their concerns about certain business models, et cetera, I think that's right. I think all business models within software are not created equally, all businesses aren't created equally. And you have to be very nuanced in your underwrite. I think the 20-years of pattern recognition that we have along the sector and seeing it evolve has allowed us to get very nuanced to attack sub sectors, what we think return on invested capital is going to remain strong and the durability of those business models remains strong. So that's how we combat that. We're very nuanced. We're very fanatic focused, and continue to see very interesting opportunities in the sector. But, without a doubt, is it more crowded, for sure. But I do think there are folks that are being indiscriminate on how they look at businesses.
Joshua Easterly: Yeah. You put a fine point on it indiscriminately. Look, not every dollar of “recurring revenue is created equal.” And, not every dollar of marketing spend is as efficient. And so, depending on customer life, gross margin, how embedded, do they control the customer, how stable the end markets, we continue to be very discriminating as investments we make in space. And then we always made same underwriting.
Ryan Lynch: That's really helpful color, and totally understand your thought process, not every software deals is created equal. The other question that I had was, obviously, the direct lending space, and the borrowers have been growing significantly over the last several years. Maybe I'm just curious, you guys have on Slide number 6, you guys show the average loan commitment that you guys are making. And over the last several quarters, it's in the $30 million to kind of $40 million commitment range at TSLX. I'm just curious, what would you say is the average commitment, if you guys are holding $30 million to $40 million at TSLX? What is the average commitment that you guys are making on kind of across the Sixth Street platform? And where would you guys feel kind of on a max level, feel comfortable committing because, today you're seeing multibillion dollar direct lending deals that are that are clogged up? But still, I'm just trying to get a sense of where you guys could kind of sit and play on the upper end, in the direct lending markets today, given the growth of your platform?
Joshua Easterly: Yeah. So you pointed out, and I appreciate it, I would not conflate with TSLX hold side, with our ability to scale our capital. And so there being part of Sixth Street allows us I think the exemptive order allows us to move up market. I think Bo mentioned in the prepared remarks, there's three deals where agents on that total over a billion and a half dollars of capital. So I think those range from like $300 million to $950 million. So, we most definitely will pick our spots up market, in kind of the Sixth Street way, which is where we can move fast and be a valued partner to our sponsor or the issuer. So, I will come back to you on the exact commitment sizes across the platform, and how those change over time. I would say, my intuition is that they've got bigger, although, we've continued to keep portfolio sizes pretty granular in TSLX, so that we can continue to – where our shareholders can get the value of some diversification, because we're not always going to be right. And so, I don't know if that's helpful. But, if you look at the back-half pipeline, we're an agent on a $900 million or $800 million deal, with an agent on a couple $350 million deals. So we're continuing to move up market where our capital can be value add. And, again, we are where DDC is midway through the cost curve, you have to provide -- you have to understand where it’s in the cost curve for every profit capital to make sure you’re providing value, finding that place where there's overlap where you're providing value to your clients and value to your shareholders. You can't just be a substitute to the high yield market and leverage own market, and add fees that are four to six times higher. It just doesn't work as  business model.
Ryan Lynch: Okay. I understood. That's helpful. I appreciate the time this morning.
Joshua Easterly: Thanks, Ryan.
Operator: Thank you. And our next question comes from the line of Melissa Wedel with JP Morgan. Your line is open. Please go ahead.
Melissa Wedel: Good morning. I think most of them have been asked but I have one follow up .
Ian Simmonds: Sorry, Melissa, we've lost you.
Melissa Wedel: Oh, sorry. Can you…
Ian Simmonds: You're breaking up.
Melissa Wedel: Hop back in.
Joshua Easterly: No. So we can't hear you. You want to try to get into a better zone and obviously, we want everybody to get the benefit of your question and to be able to answer your question, but we can't. We can't hear you at the moment.
Operator: Our next question is going to be from the line of Mickey Schleien with Ladenburg. Your line is open. Please go ahead.
Mickey Schleien: Good morning, everyone. Hope you're well. Josh, you have been historically very successful in using a thematic investment thesis in your portfolio management. And if we look back at 2020, and this year, I'd like to ask how has the pandemic affected the themes that you're pursuing, if there's been any change?
Joshua Easterly: Yeah. Look, I would say -- thank you, Mickey. By the way, I think, I appreciate the attribution, the Josh, but it's really the platform and the people were on the platform. But I think, most definitely themes come in and out of vogue. I would say one theme that's coming out of vogue for us is retail on the margin. Kind of the pandemic washed out – by the way, generally, I think capitalism does a lot of the heavy lifting for society. So typically, you have an economic downturn. It gets rid of all the zombie companies that are high on the cost curve, that are inefficient users of resources. And I'm not sure the pandemic did that, except for the retail. And so, we surely had that done in retail. And that was happening before with Amazon, direct to consumer, so people who didn't have a role on the channel model were going away. That being said, I think the pandemic accelerated that cleansing of retail. Now, the retail that's left overlaid with a really, really healthy consumer is, I would say, is in really good shape. And, probably peak-ish earnings across the sector are going to be peak-ish earnings across the sector. So I think we're probably less bullish about in the short-term given the health of the U.S. consumer, there is, I think $1.7 trillion of excess savings across the U.S. economy, the retail has left as a better value proposition. And so I think, that's truly one thing that's come out of vogue for us. Payments continue to be in-vogue for us. And so Passport fits into the software, kind of where it meets payment ecosystem. And so, constantly changes, some parts of healthcare, we think are really interesting and others not. And so we continue, this is the thing, as a platform, we continue, always talk about, and spend our time as a group in the partner . Bo or Fish, anything to add?
Bo Stanley: What I would add is, for direct lending there's generally 15 to 20 themes where we’re actively pursuing at any one time. That's constantly rotating. We spent a lot of time. We have weekly meetings, talking about thematic research and testing ideas, and pressure testing certain themes, and that's constantly rotating. That's been a practice since we started. We'll continue to do that in periods of dislocation and at the beginning or ends of cycles. We see that rotation generally speed up, so to your point, I think we've had a pretty healthy rotation of the themes that we're pursuing post- COVID. But that will continue as long as we're here managing money.
Ian Simmonds: I'd say we also look at on software recurring revenue. The sub themes would be the end markets that they're related to. So we spent a lot of time thinking about that. As we said before, not every recurring revenue deal or software deal is the same. And those that focus on specific sectors themselves, we have to look at that as effectively a sub sector of our theme.
Mickey Schleien: Josh, on the back of that, then, I haven't done the math. But if you were to look at the IRRs on some of your distressed retail deals, they were pretty exceptional, if I'm not mistaken. Is there a new theme that can sort of replace that? Or, when you and the board think about sort of target ROEs, are you considering a lower ROE target going forward, if there's no theme that can replace that distressed retail opportunity?
Joshua Easterly: Yeah. Thanks. So obviously, that's been a theme for us but other themes will pop up. I would -- we've been pretty clear portfolios have remained pretty constant. And I think our ROEs are going to be at the high-end of our -- when you think about the exceptional value proposition for TSLX shareholder, I think what we said today was, our average ROE is a bit about over time, I think about 12%. It's going to be about 12%. We think it's going to be 12% plus this year, on a net investment income basis. Obviously, there's been a huge uplift on a net income basis, in a rate environment that's 200 basis points less than what we've lived in. We think on a risk adjusted basis, we're actually doing more for our shareholders. And I don't think our ROE targets have moved down. I think we're doing more for our shareholders. That's a little bit of financial leverage, but I'll be able to hold portfolio yields. So I think, this has been one of our – and will continue to be one of our best years, given the interest rate environment to provide value for our shareholders. And you see that across not only the net investment income line, but the net income line, and how capital efficient we are.
Mickey Schleien: I appreciate that, Josh. But just one sort of more housekeeping sort of question. I realized it's a small portion of the portfolio. But could you review why you've invested in CLO debt, instead of CLO equity, given that CLO equity estimated yields are so much higher, and their cash flows have been really exceptional, pretty much since the second-half of last year?
Joshua Easterly: Yeah. Look, I would say, first of all, CLO equity, we invested in the CLO I think in the middle of COVID, where, as you know, we don't try to lose capital where there was a decent amount of uncertainty on the false and recoveries. And, it wasn't clear that CLO equity is going to make the upside. We haven't added any new CLO depositions in the book. I generally think that, to your point of CLO equities, it has a decent value proposition at the moment. Although, it's how evolved, and I would say, as you know, you've lived through. And we've seen across the space, there is a significant difference between cash on cash returns, and ultimate IRRs. And so, current cash on cash returns and CLO is not only net interest margin, but it’s a return of – not only return on capital where we return off capital, when you look at an entire kind of life lifespan of a CLO investment. And so, I want to disagree that its worth at the time when we make made investments as a structured credit land was, and we haven't made it since COVID. It was in a very different time with a whole lot of uncertainty around the false and losses. And given the nature of CLO equity, it's massively levered. We didn't think it was appropriate for the BDC.
Mickey Schleien: Okay. I understand. That's it for me this morning. I appreciate your time. Thank you.
Joshua Easterly: Great.
Operator: Thank you. And I'm showing no further questions at this time, and I would like to turn the conference back over to Joshua Easterly for any further remarks.
Joshua Easterly: Great. Thank you so much for people's interest and time. We look forward to chatting in the fall. I hope people have an easy and healthy rest of summer, and enjoy your Labor Day. Thanks.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.